Operator: Good day, everyone, and welcome to the Entegris fourth quarter 2010 earnings release conference call. Today’s call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Mr. Steve Cantor, Vice President of Corporate Relations. Please go ahead, sir.
Steve Cantor: Thank you, Christie. Good morning, everyone. Thank you for joining our call today. Earlier, we announced the financial results for our fourth quarter and fiscal year ended December 31, 2010. You can access a copy of our press release on our website, entegris.com. Before we begin, I would like to remind listeners that our comments today will include some forward-looking statements. These statements involve a number of risks and uncertainties, which are outlined in detail in our reports and filings with the SEC. On this call, we will also refer to non-GAAP financial measures as defined by the SEC and Regulation G. You can find a reconciliation table in today’s press release as well as on our website. On the call today are Gideon Argov, President and CEO; Bertrand Loy, Chief Operating Officer; and Greg Graves, Chief Financial Officer. Gideon will now begin the call.
Gideon Argov: Thanks, Steve. And good morning. Thank you for joining the call. The fourth quarter marked the strong finish to an excellent year. Here is a few of the highlights. We achieved sustained growth throughout the year attaining record-level sales, operating margin, and cash flow from operations for fiscal 2010. We made good progress in our share gain initiatives and several product lines achieved record revenue levels. The $141 million of operating cash flow in fiscal 2010 allowed us to fully repay our debt. We have no debt, and we closed the year with a strong balance sheet. And our momentum is accelerating going into the New Year as we see continuing strength in the market environment, the positive results from a new product and market initiatives. The fourth quarter sales of $182 million marked the seventh consecutive quarter growth. For the year, sales reached $688 million, which is 73% above 2009 levels and eclipses our previous high watermark in 2006. These are record yearly levels of revenue for the company and for all time. We have clearly benefited from the strong recovery in our markets, but in addition to the recovery, we have demonstrated the effectiveness of our strategies and the ability to execute operationally. Our unit-driven sales grew 54% for the year, well in excess of the estimated 40% increase industry-wide semiconductor device production. And our capital-driven sales were up 117% from 2009. We were very pleased with 2010 progress on a number of key growth initiatives. Our fight-back efforts to take – re-take market share yielding results led to significantly higher sales growth in the fourth quarter and for the company as a whole. In our other initiatives, we achieved design wins for a number of our contamination control and wafer handling technologies, specifically targeted fabs, implementing 32-nanometer and below processes. Some of these fabs are in construction now, as you know, and will be production ready this year or next. We also launched a number of fluidics and wafer handling markets to new markets such as solar and LED, which offer these customers innovative solutions for reducing manufacturing defects and costs. In the fourth quarter specifically, we continued to see positive trends across our markets. Sales to semi customers grew 1% sequentially and accounted for 73% of total revenues, and sales outside semi grew 5%. Looking at the performance across each of our divisions, the Contamination Control Solutions division, CCS, our largest division, had an outstanding year. In 2010, CCS recorded sales of $436 million, which is 81% increase over the prior year and 7% higher than division’s prior peak in 2006. This is all organic growth and reflects the record year for number of product severance within CCS, including liquid filtration, gas microcontamination, and fluid-handling components and systems. Much of the success is coming from our unique ability to apply a wide breadth of filtration and fluid-handling technologies increasingly complex contamination issues facing our customers. In addition to that, our partnerships with leading industry consortia such as iMac and IBM are further enabling these efforts. Q4 was another great quarter for CCS. Sales were $118 million, up 5% sequentially, driven by strong sales for liquid filters, particularly for advanced photolithography processes. In addition, sales of fluid-handling products used in wet etch and clean tools and in the infrastructure of a number of fabs reached an all-time high. We are very pleased with CCS’ achievements of 29% operating margin before corporate costs. For the Microenvironments division, fiscal 2010 was the year of transition. Now the year before, this business was totally overhauled. We reduced its operating cost by 20%. We moved most of its manufacturing from the US to Asia. And we transformed its product development, leveraging our core materials and filtration technologies to address the most demanding and challenging wafer-handling requirements (inaudible). I’m very pleased with ME’s results for 2010. Revenues were up 64% from the prior year. And the division generated an operating margin of 22% before corporate costs. The ME division is now structured to be substantially more profitable at lower revenue levels and is poised to capitalize on a number of new market opportunities in semi as well as in the adjacent solar and LED spaces. In the fourth quarter, sales in our Microenvironments division were $46 million, which was down slightly from the third quarter. We saw growth in shipping products, reflecting share gains in the solid wafer start environment, offset by lower sales of wafer carriers. Demand for carriers is driven by fab expansion. And we are currently pursuing a number of sizable opportunities that emerged for more stringent contamination control requirements for these carriers at 32 nanometers and below. We have a highly differentiated FOUP offering, which is designed for these demanding applications. And adoption of these FOUPs is happening faster than anticipated. This has put pressure on manufacturing as we move these products from design to high volume production. These efforts are resulting in some increased investments as well as ramp-up cost related to manufacturing of these new products, both of which impacted the ME margin negatively in the fourth quarter. Operating income for the ME division, $8 million or 18% operating margin. We expect the ME margin to improve as we achieve high-volume manufacturing of our new products in the first half of 2011. For the Specialty Materials division, fiscal 2010 was a year of recovery as its industrial markets slowly but steadily improved in line with the overall economy throughout the year. In the fourth quarter, we changed the reporting relationship of the Specialty Materials division to report directly to Bertrand Loy, our Chief Operating Officer. About 40% of this division serves the semiconductor and solar markets, and this change enables us to realize the increasing synergies with the rest of the company in three ways; through closer alignment with our global field operations team, through improved alignment with engineering, and by reducing administrative costs. For the quarter, sales in our Specialty Materials division grew 4%, reflecting the continuing rebound in the industrial side of this business and strong demand related to ion implant applications. Operating margin for Specialty Materials was 13% in the fourth quarter. Before Greg Graves provides some additional detail on the fourth quarter and our expectations for Q1, I want to add this comment on the current year, 2011. Today, we feel excited about our prospects for the current year. Our market environment is strong as a number of key semiconductor device makers have announced major increases in capital spending plans for the year. The global demand for electronics, which drives our markets and our unit-driven sales is showing signs of continued strength. With these wins at our backs and our growth strategies in place, we believe Entegris is in the best position in the company’s history to deliver strong value to our shareholders, which in my view is still not fully recognized by the financial markets. I’ll now turn it over to Greg for some additional commentary on the financials as well as our outlook for the first quarter. Greg?
Greg Graves: Thank you, Gideon. I’m pleased with our financial results for the fourth quarter and full year 2010. The results capped an outstanding year for the company. We reached a new l level in terms of overall financial performance. Revenue of $688 million was up 73% versus 2009 and surpassed our previous peak level achieved in 2006. Adjusted operating margin was ahead of the profitability achieved in prior cycles. Non-GAAP EPS of $0.71 were 9% higher than the previous record of $0.62 achieved in 2006. Cash flow from operations of $141 million and EBITDA of $148 million were also at record levels. In addition to this excellent performance, we demonstrated the ability to consistently manage to the target operating model we introduced externally in 2009. Turning to the quarter specifically, Q4 sales of $182 million were up from Q3 and reflected solid growth in most regions. In Asia, our largest region, sales grew 3% sequentially. Japan was also up 3% and Europe grew 9% versus Q3, while North America sales declined 3%. For the full year 2010, all regions had a strong revenue performance. It is worth noting that Asia, our largest region, was up almost 90% for the year. The unit-CapEx mix for the quarter was 63% unit-driven addition 37% capital-driven. Fourth quarter gross margin was 44%, at the low end of our target model range. The lower margin was attributable to the ME division where the sales mix for the quarter was less favorable than in Q3, and we incurred higher than anticipated cost to ramp certain new carrier products. Q4 operating expenses of $49 million were in line with our guidance and consistent with our target model. R&D expense was $11 million, roughly the same as in Q3. During the quarter, we continued to make significant investments in new ways for handling solutions as well as radical handling for EUV applications. Q4 SG&A was $38 million. The increase from Q3 included severance costs related to the strategic realignment of the Specialty Materials division as well as higher sales initiative compensation. These increases were offset in part by lower variable compensation in the quarter. Our adjusted operating margin was 17.2%. This was within the target model range we would expect at approximately $180 million in quarterly revenue. Excluding severance costs, our operating margin was slightly over 18%. Our tax rate for the quarter was essentially zero, driven by the lower than anticipated full year effective tax rate of 15%. The full year rate was lower than expected, as the final geographic mix of income shifted from our earlier projection. Non-GAAP EPS were $0.23 per share and GAAP EPS were $0.20 per share. The non-GAAP number excludes amortization and the write-down of a minority equity investment in the quarter. We had another excellent quarter of operating cash flow performance, generating $40 million in cash from operations. Cash flow from operations for the full year was $141 million. Adjusted EBITDA for the year was $148 million. Turning to the balance sheet, we ended the quarter at $134 million net cash positive. This is an increase of $41 million over Q3. Over the course of 2010, our cash position went from net debt of $3 million to net cash of $134 million. We continue to remain focused on cash and working capital management. Even with the increasing sales and order trends, we kept a tight hold on inventory in the quarter. Inventory turns were 4.1 times. Depreciation expense was $7.3 million in Q4, and CapEx was $4.6 million. For the year, CapEx was $17 million. Looking ahead to Q1, business trends continue to be favorable and we currently expect sales of $185 million to $190 million. At these revenue levels, our target model calls for operating margins of 18% to 20% and non-GAAP EPS of $0.18 to $0.20 per share. In 2011, we expect the tax rate to be 17% to 19%. Capital spending will be approximately $30 million. The increase in CapEx from 2010 levels reflects increased investment in our Asia operations and an initial investment in 450-millimeter wafer handling product. In summary, bolstered by a strong industry environment, share gains in our core markets and revenue gains from our new market initiatives, we completed 2010 with record revenue, operating margin, earnings per share and operating cash flow. The industry outlook remains positive, and our largest customers are forecasting solid growth in wafer starts and record levels of capital spending in 2011. Finally, we remain committed to delivering financial results consistent with our target model. This commitment combined with the favorable industry outlook position Entegris for continued strong growth and profitability and cash flow. With that, we’ll now take your questions. Operator?
Operator: (Operator instructions) And we’ll go to our first question from Timothy Arcuri from Citi. Your line is open.
Wenge Yang: Hi. This is Wenge Yang for Tim. Couple of questions. First one, if you look at the 2011 outlook, we cannot [ph] see CapEx to go up 15% with the current CapEx plan. And also just on utilization start and see utilization to go up in the mid-teens. So with that as a background, is it safe to assume that for Entegris the revenues should grow at the same pace or even faster than low-to-mid teens?
Gideon Argov: Good morning. We don’t forecast for the full year obviously. And while we don’t have a sense of how fast the industry will grow, I think it’s fair to say that a number of large consumers of capital have announced that they are going to be spending healthy amounts on capital in this year. It’s hard to see capital going down versus 2010. And then on the unit-driven side, which I would stress as 60%, 65% of our revenues unit-driven, we’re heavily weighted to that. As you know, the fabs are operating at a high utilization. That is expected to continue over the next few quarters. And that bodes well for our unit-driven products. It’s hard to see that side of the business, that production of devices not increasing by low-to-mid single digits. Regardless, we plan to grow faster than the industry. And to do that, we’re taking market share in a number of areas that we’re very comfortable that we will grow faster than those indexes.
Wenge Yang: Okay. You have a target of $900 million by 2012 through the market share gain and new product development. So 2011 will be the midpoint of reaching that target. What kind of initiative you are taking in 2011 and where do you see your numbers to grow in 2011? And can we assume it somewhere in the middle – between $700 million right now and $900 million by 2012?
Gideon Argov: Yes. I mean, I think somewhere in the middle would be a good way to put it. I’m not saying it will be at the midpoint or the high point, but I think absolutely somewhere in the middle. And I think we will continue in 2011 to drive our fight-back initiatives, which contributed meaningfully in 2010. We would expect that to continue to 2011. We’re committed to the investments in the new market initiatives. And then the migration to advanced technologies is helping us, and we’re gaining share both in the ME business as well as the filtration business just in our core products. So we continue to feel good about that strategy and that target that we’ve laid out there in the strategy.
Wenge Yang: Great. One last question regarding gross margin. So, gross margin has actually been declining for two quarters for specific reasons. And what is your outlook for Q1 in terms of gross margin? Based on your guidance, we don’t see a big improvement on the gross margin even in Q1. So what are the variables that could move your gross margin in Q1 and for the year 2011?
Gideon Argov: So let me first comment on the gross margin in Q4. I mean, the margin in Q4 was weak as very discrete, limited to the Microenvironments business. I mean, if you would look at our operating margins on a segment basis, the other two businesses had very strong performance. The margins relate specifically to ramping new products, specifically 300-millimeter process products that are using advanced materials. If you peel the onion back a little bit, we’ve made FOUPs for about ten years. We’ve made them out of a polycarbonate material. We were migrating to some new advanced materials and we’ve had some growing pains in doing that. The good news is they are growing pains because these new advanced materials were gaining share in these product lines. So margin in Q1 I would expect to be up modestly slightly from Q4.
Wenge Yang: Thank you.
Operator: And the next question comes from Krish Sankar with Bank of America/Merrill Lynch. Your line is open.
Paul Thomas: Good morning. This is Paul Thomas for Krish Sankar. Thanks for taking my questions. Maybe a little bit more on the gross margins. Greg, you guys have talked in the past about $26 million fixed component and maybe $39 million to $40 million in variable. Could you talk about Q4 and Q1 with respect to that with the ME investments a little higher on the fixed side of that, or how should we think about that?
Greg Graves: Yes. I think you should think about – I mean, our fixed cost structure has remained relatively constant. So, clearly, as we ramp these products, we’re seeing higher variable costs in areas like product sampling, like scrap rates, and those are ultimately our variable costs. As we get better at manufacturing those variable costs did come down. I guess what I would focus you on though, Paul, is really on the target model. When we talked about it, $190 million in revenue, we talked about gross margins of 45% to 46% in that target model. I think as we get out towards the middle of the year, we will be back in that range.
Paul Thomas: Okay. That makes sense. And then, maybe also with the new product development, what is kind of the right R&D level to be thinking about?
Greg Graves: The R&D level, I mean, we are $11 million in the most recent quarter. We’re going to – and we’ve been pretty consistent at that level. If our business – if the revenues continue to increase, I think you will see some incremental spending on R&D. But regardless of where the business goes, I mean, the thing I really want to iterate is that we’re committed to achieving the target model and we’ll clearly make reductions in SG&A before we will in the R&D. But I mean, you should think about – focus on maintaining R&D and making the target model in all environments.
Paul Thomas: Okay. Then maybe last one for Gideon. You talked about the share gains and fight-back (inaudible) having some benefit in 2010. You guys have put out targets of $45 million in just share gains and $35 million in fight-pack. You probably can’t give us like an exact dollar amount in the benefit of the past year, but maybe just a relative sense. Are we still in the early stages of those targets, or where do you think we are going to be in Q1?
Gideon Argov: I think that on our fight-back initiatives, in the fourth quarter we actually grew those at 15%. That’s considerably in excess of what the company grew overall. I think that in the – we continue to make progress in those areas. One of those is the (inaudible). We’re pleased with the progress we’ve made there. In the market share as it relates to advanced technology products, as you know, Paul, we are seeing a fairly dramatic shift here now and over the next few quarters into 45, 32-nanometer technologies. That is really a win that our backs. It turns out both in our filtration business, but also in our ME business. We have considerable opportunities on the table to take share and really cement our leading position in the process carrier business in the 300-millimeter area. And so we feel very comfortable with those targets over the next couple of years.
Paul Thomas: Okay. Thanks a lot, guys.
Operator: And our next question comes from Christian Schwab from Craig-Hallum Capital Group. Your line is open.
Christian Schwab: Great. Thank you. Good quarter, guys. As far as the share gains, Gideon, I understand your explanation of the specifics at 32-nanometer and below on the contamination control systems. Just wondering if you would like to share your current market share and market share goals in the Microenvironments area, in particular at the 300-millimeter level?
Bertrand Loy: This is Bertrand. We remain very committed to the original target of 20% market share for our 300-millimeter shipper products. As Gideon stated, we have been very pleased with the results of this product line. In Q4, we posted a record quarter for new (inaudible) products for the year and Q4. And we are exiting the year with a lot of momentum, again, based on very nice progress with our wafer grower customers and end users. So market share is about, again, 20% is what we are aiming for in the next two years. Going to the 300-millimeter process carriers, the historical market share was about 50%. Let me tell you that we are right now in position to significantly increase this market share based on some initial feedback we’re getting from all of the major device-makers. You should know that we have active evaluations and qualifications of our Spectra product at four of the top-five device-makers right now, which is something that had never happened in the history of Entegris. And this technology is also being conducted at a much faster rate than anything we had anticipated. And that is creating the growing pains that Greg was referring to when he was talking about the impact of (inaudible) to our gross margin. So the way I would frame it is if you had asked me two years ago to define success for the ME division, I probably would have described the situation is not very different from where we are closing the year in 2010.
Christian Schwab: Great. That’s helpful. Thank you. And then on the new market initiatives, are you guys in a position yet to give a revenue goal for some of the new market initiatives from zero a few years ago for your solar and LED and consumer electronics, some of these other initiatives that you have, what it could mean in revenues in 2011 or 2012 yet?
Bertrand Loy: No, we have not quantified those targets. But I would only share with you that the momentum is rare and the momentum is starting to really accrue significantly to the top-line. Just to illustrate this point, I would tell you that on the solar side of our business, over the last eight quarters, we increased by a factor of 10 the revenue into those applications. And the opportunity is there not only for filtration products but for fluid-handling products, and hopefully we will start seeing some meaningful traction to our Microenvironment products in 2011 as well. So, great momentum on solar. We expect that to continue into 2011 and beyond. And we’ve told in numerous calls before about the success in LED. And so again, I think that we are very pleased with our ability to expand our talents in new markets and new applications.
Christian Schwab: Great. Thank you.
Operator: And our next question comes from Kelly Anderson with Sidoti & Company. Your line is open.
Kelly Anderson: Good morning. Thanks for taking my questions, and congratulations on hitting some huge balance sheet milestones during the fourth quarter. The first thing I wanted to touch on was just a clarification about the Microenvironments in particular. Are you suggesting that you are actually capacity-constrained in that business? And if so, has that since been remedied?
Gideon Argov: No, Kelly. I mean, we are not capacity-constrained in that business. Today, we’re – I guess you would say we’re capacity-constrained only in that as we introduced these new products, our ability to produce them at high volumes has not been up to what we’d like to see it be and what we would expect it to be over the coming quarters. But we have – in terms of the floor space and the facility size, we have adequate capacity.
Kelly Anderson: Okay. And then in terms of the margin issues for that segment, I understand that some of these MicroE products come with actually a lot of different bells and whistles, be it the special clear-like [ph] wafers and things like that. As you introduce more the value-add to the product, does that also help solve the margin problem?
Bertrand Loy: Kelly, that’s actually exactly the way you want to look at that. Just to add to Greg’s comment, I would only tell you that in the past, historically, qualifications of FOUP products that the most demanding end users would take up to 12 months – 12 to 18 months. What we are seeing right now is our major customers expediting the qualification of those products and really turning around those qualifications within (inaudible). And that’s, in my mind, the best testament to the type of benefits they are seeing in their processes from the adoption of our technology. So we are very pleased with where we are right now. We just need to move very quickly some of those technologies from an engineering control status to a released manufacturing.
Kelly Anderson: Okay, great. Thanks so much. In terms of the Specialty Materials segment, I was just wondering, I don’t even know if you can answer this, whether this is partly due to some of the new design wins that you’ve seen bearing fruit. Is this a situation where you’re kind of riding off the success of some of your key customers, like in the ion implant space? And as we look forward into 2011, what’s kind of the linearity of some of the new design activity there versus just market growth?
Gideon Argov: The story of Specialty Materials has been an improvement – gradual improvement in the legacy business, which continues. And then, as you’ve just said, Kelly, a number of design wins. Those design wins are in the ion implant area. They are also, I’d say, in the photolithography area where we have some coatings applications that are now imbedded in some new products that are unit-driven and will run for many years and then as well in aerospace as well. I’d say, a balanced portfolio of new applications and all of which we’d like to say are singles and not triples or homeruns, but collectively they begin to add up. So this business continues to grow, and we’ll continue to grow over the next few quarters.
Kelly Anderson: Okay, great. And then just last one for me. I’m actually surprised a lot of the different equipment vendors out there are reporting surprising amounts of business from the kind of solar arena. Just wondering if you could talk about kind of what you’re hearing from your customers and maybe just even break it down on a geographic basis of where you are seeing the most interest coming from?
Gideon Argov: Well, we’re not going to talk about specific customers. I would tell you though this. The solar industry is a new industry. And as volumes ramp up in this business, and a lot of it is in Asia obviously, there are issues that relate to yield that were not encountered when the industry was operating at much lower volumes. And those kind of issues lend themselves through the products that we make. So, as the industry matures as volumes go up, the same kind of process control and requirements for contamination control become really critical, and that’s where we come in.
Kelly Anderson: Okay. Excellent. Thanks for taking my questions.
Operator: And our next question comes from Avinash Kant from D.A. Davidson & Company. Your line is open.
Avinash Kant: Good morning, Gideon, Greg, and Bertrand.
Gideon Argov: Good morning, Avinash.
Greg Graves: Hi, how are you?
Avinash Kant: Very good, very good. Quick questions. I’m still not able to reconcile the guidance, and it may be some conservatism on your part. But if I just look at maybe the low end of the guidance, you’re talking about $0.18 on $185 million in revenues. You did $0.23 on a $182 million, and your margin guidance for Q1 is up more than Q4 – slightly up from Q4. So, how are you getting at those EPS numbers?
Greg Graves: Okay. So first of all, in Q4, Avinash, there is $0.03 to $0.04 related to the fact that we had a zero tax rate in the quarter. And so if you strip that out, you really get a like comparison. And the guidance is really, in terms of the EPS, is based right on going to the target model. I mean, if you go to our target model at revenues about – it's in our Investor presentation, at revenues of $185 million to $190 million, the EPS number is $0.18 to $0.20. And so we’re constantly going to come back to that model because that’s our commitment.
Avinash Kant: Just the tax rate that you’re talking about, which will be like 15 –?
Greg Graves: I mean, the tax rate had $0.03 to $0.04. I mean, had we had a normalized tax rate in the quarter, taxes would have been somewhere around $5 million. And they were essentially zero.
Avinash Kant: And also you talked about write-down, which was not included in the operating number. What was that, and which line item did that go into?
Greg Graves: It goes through the equity line in the P&L. And it relates to a very old manufacturing joint venture that we have in Japan. And at this point we’re evaluating sort of the future of that venture and how we – whether or not we use that venture or not going forward. And as we’ve done the analytics around it, we thought it was prudent to write that down. So I guess it is a venture that we’ve been involved with for the last 15 or 20 years.
Avinash Kant: And how much was the write-down pretax or post-tax, if you could give both?
Greg Graves: The write-down pretax was just over $2 million.
Avinash Kant: Okay. And post tax, what was the tax on this one?
Greg Graves: I don’t believe there was a tax impact on it.
Avinash Kant: Okay, yes, because the tax rate was pretty much zero this quarter anyway.
Greg Graves: Right.
Avinash Kant: So the $2 million then went into which line item in your P&L? I’m trying to just figure that out.
Greg Graves: In the equity line in the P&L – equity and affiliates.
Avinash Kant: Okay, got it. Got it. Okay. So that’s not 1.8 as it appears here. It’s close to $2 million. There’s something else in there.
Greg Graves: Right. Yes. So that includes all of our income or loss from equity affiliates that we account for on an equity basis. So there is some profit from some other ventures that come through there as well.
Avinash Kant: Okay. And the other question I had was, when you talk – could you talk a little bit about the lead times that you see compared to what’s been the trend in the lead-time? Has it been growing up or it’s been stabilizing, it’s coming down? Where are you? And you could talk the same about utilization rates too.
Bertrand Loy: This is Bertrand. The lead-times for most products have been either constant or steadily going down. I mean, I would expect for any manufacturing company we have ongoing efforts to improve our lead-times and to maintain them competitive. The only exception, as you have gathered it by now, would be for the most advanced Spectra FOUPs where lead-times today are longer than for our traditional product lines. And I’m not going to give you a quantification of that statement because the lead-times would vary considerably whether you talk about a PEI FOUP as opposed to a EDM FOUP or a standard FOUP. But – so that’s the only area where some of our lead-times are being (inaudible).
Avinash Kant: And in terms of utilization rates, you are running at –?
Bertrand Loy: I’m sorry, yes. So utilization rates, again, we are operating, I would say, fairly comfortably between, I would say, the high 70%, 80% utilization rate in most of our plants. So again, in most cases, we’re not – our manufacturing processes are not necessarily very capital-intensive. So I’m not sure that utilization rate is necessarily a really good index or metrics for us. The only case it would be one would be again in the Microenvironments division where, as Greg mentioned earlier, we don’t see any constraint in terms of our capacity rates.
Avinash Kant: Okay. And one final question. If you could talk a little bit about – in the guidance for Q1, what’s the expectation for unit side of the business to grow and what is the expectation on the CapEx side of the business roughly?
Greg Graves: We’d expect the mix to be relatively similar in Q1 to what it’s been in 2010. I mean, if you look at 2010, Avinash, our unit-CapEx mix, with the exception of the third quarter, it was 63/37 in Qs one, two and four. So we’d expect it to be in that general range as well relatively, which would imply consistent growth between the two sides of the business.
Avinash Kant: Okay. Okay. Perfect. Thank you so much.
Operator: And our next question comes from Dick Ryan from Dougherty. Your line is open. Mr. Ryan, your phone may be on mute.
Dick Ryan: Sorry, guys. Yes, I had it on mute. When we look at Q1, Greg, are there any variances on the cash flow side when you compare that with what we’ve seen in Q3 and Q4?
Greg Graves: In Q1, the primary difference is it will pay out variable compensation in Q1. And that’s a number in the $25 million range. So Q1, I mean, if we had – the performance were identical in Q1 to what it is in Q4. I mean, we’re obviously expecting it to be better, but we would generate $15 million to $20 million in operating cash.
Dick Ryan: Okay. And when you look at the segment operating margin goals, with the investments being made particularly on the Microenvironments side and Specialty Materials, can those margins – over the next couple of years, can Microenvironments get into the kind of upper 20% range and Specialty kind of approach 20%? Are those reasonable expectations?
Greg Graves: If you look at Microenvironments for the year, the most recent year – for the whole year, it was 22.4%. Q3, it was 24.6%. So, not that far from the high 20%. That is a relatively capital-intensive business. So with higher volumes, that’s certainly possible.
Dick Ryan: And Specialty, Greg?
Greg Graves: Specialty, and I think we’ve said pretty consistently, is probably our highest in terms of operating leverage business, because today as a percentage of revenue, we’re probably making the greatest investment in new market initiatives in that business. So there is meaningful leverage there. I think, as Gideon said, we think that that business, on 25 a quarter in revenue, can get to 20% operating margins.
Dick Ryan: Great. Thanks, guys.
Operator: And our next question comes from Steve Schwartz from First Analysis. Your line is open.
Steve Schwartz: Hi, good morning, guys.
Gideon Argov: Good morning, Steve.
Greg Graves: Good morning, Steve.
Steve Schwartz: Just a couple of quick short ones. As far as the ME ramp in the fourth quarter, is there any carryover into the first quarter as far as those costs are concerned?
Greg Graves: There will be some carryover in the first quarter, which is why I suggested in Q1 we’d expect the margins to be up only slightly from where they were in Q4 versus where the target model which would best 45 to 46. So we will have some of that as we move into Q1.
Steve Schwartz: Okay. And then, how much, Greg, was the severance charge in the fourth quarter? You said it was in SG&A.
Greg Graves: Charge in aggregate was just a little more than $1.5 million.
Steve Schwartz: Okay. Once again, any of that in the first quarter?
Greg Graves: No meaningful amount.
Steve Schwartz: Okay. And then, other income – actually other expense turned into income on a year-over-year comparison, is that just FX or are there other things in that?
Greg Graves: Yes. The primary thing in other income, Steve, in a quarter-to-quarter basis, is FX. And in the most recent quarter, FX had a pretty neutral impact. We’ve had some quarters where it’s been – had a negative impact of $1.0 million or $1.5 million.
Steve Schwartz: Okay. And if that FX impact – do you think that will carry through the first half of ’11?
Greg Graves: It’s hard to say. It really depends largely on kind of movements in the currency. And we really don’t predict.
Steve Schwartz: Got you. Okay. And then that impairment on the equity investment, since that falls below the pretax line, is that still tax effected?
Greg Graves: It’s not tax effected.
Steve Schwartz: Got it. Okay. And then just my last one, just a little bit higher level, on the change to the advanced materials, it sounds like that’s in the 300-millimeter FOUPs, what is the driver for that change? Is it the smaller nodes or are there cost savings, or what’s driving the change there?
Bertrand Loy: It’s smaller nodes, and it’s the contamination control requirements that our customers are looking forward to get to the type of process productivity that they need in order to adopt those new process nodes. So we are working very closely with the tune, the design, the silicon design and attributes of our Spectra FOUPs, but also find the right materials. They have to deal with the contamination challenges that they are seeing. If even one of those customers faces different types of challenges, then we have the unique ability of being able to tailor the type of materials that we best meet their requirements.
Steve Schwartz: And you mentioned this was not polycarbonate. Can you share with us what the base resin is, or is it a varied mix?
Bertrand Loy: Again, as I said, it depends. And no, we won’t go down at that.
Steve Schwartz: Okay. Understandable. Thank you.
Operator: (Operator instructions) Our next question comes from Mike Crawford with B. Riley & Company. Your line is open.
Mike Crawford: Thank you. In the past you’ve talked about kind of a cross-cycle quarterly revenue, an average revenue maybe of around $160 million. Do you think that’s changed, increased at all?
Greg Graves: In the past we’ve talked about it as kind of a – as really the mathematical average of 155 or 160. Obviously, as the cycle continues to stretch out, I mean, that number moves up.
Mike Crawford: Okay. Cross-cycle, okay. Thanks. And then also I believe you are expecting some incentive comp payout in this Q1 of around $30 million. Is that still about the expectation?
Greg Graves: It’s between – it's 25 – little more than 25.
Mike Crawford: Okay. Great. Thank you.
Greg Graves: Thank you.
Operator: And our last question comes from Samir Sikka from Met West Capital Management. Your line is open.
Samir Sikka: Congratulation guys on the solid cash flows this year.
Gideon Argov: Thanks, Samir.
Greg Graves: Thank you.
Samir Sikka: The question I had is that, which nobody has asked so far, is – there was a change in your one of the larger companies that competes with you. The CEO talking about stepping down and talked about sort of company being acquired. If that were to happen – I know you have a solid balance sheet today and you’re starting to grow, take some market share back. What are your views? How does that change your outlook and how you’re going to compete? Or do you think that before the consolidation in the industry and what does that do for you as far as challenges and opportunities?
Gideon Argov: Well, Samir, obviously we don’t talk about competitors by name. We respect our competitors. I am assuming by the opacity of your question you’re referring to Paul [ph] Corporation, which is a fine company, and we respect them. But I really can’t comment because we have our strategy and we think we’re being successful. So I really wouldn’t want to make a comment on any specific competitor.
Samir Sikka: Does that create opportunities for you outside of semiconductor space? I know you’re investing in other areas.
Gideon Argov: Well, about 25% of our revenue is outside semiconductor today. We think some of the most exciting opportunities are in the adjacent space. And they relate to alternative energy. They relate to solar. They relate to LED. They relate to some aerospace business. As Bertrand mentioned earlier, in one case, in the case of solar, we’ve had literally a ten-fold expansion of that business over the past couple of years. So we’re obviously in other areas. And in some of those areas, we compete against the company you mentioned. In some, we don’t. I’d say we like our chances. Let’s put it that way.
Samir Sikka: Now I know you’re not talking about sort of revenues beyond one quarter. But some of the companies in the semiconductor equipment space who have very conservative management teams have actually come out and maybe not given guidance on numbers, but then they talk about their outlook in how they are looking at the business. It looks like to be very solid to you for the next three or four quarters. So what’s the disconnect here, do you think?
Gideon Argov: I think one of my colleagues in the industry said it quite well few day ago, and that is that he has and doesn’t believe anybody can have very great understanding of what the cycle will look like a few quarters round the road. There’s a lot that’s unknown. I would tell you this. We sit here before today, given the announcements on capital expenditures by device-makers, it’s hard not to look at 2011 as an at least reasonable year and possibly better than that. So I agree with your thesis. On the unit-driven side, given all of the proliferation of devices that you and I and others are aware of, be they tablets or smartphones geographically around the world, it is also hard not to look at 2011 as at least a reasonable year of unit growth in the industry, and we’re hopeful that it translates into an excellent year. I would say the proof will be in the pudding.
Samir Sikka: Thank you, Gideon.
Gideon Argov: Thank you, Samir.
Operator: At this time, I would like to turn the call back over to Mr. Gideon Argov for any closing remarks.
Gideon Argov: Thank you very much for joining our call. We look forward to updating you in the future.
Operator: That concludes our call for today. Thank you for your participation.